Operator: Good day, and thank you for standing by. Welcome to the Gevo Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our speaker today, John Richardson. Go ahead, John.
John Richardson : Good afternoon, everyone. This is John Richardson, Gevo's Director of Investor Relations. Thanks for joining us to discuss Gevo's third quarter results for the period ended September 30, 2022. I would like to start by introducing today's participants from the company. With us today are Dr. Patrick Gruber, Gevo's Chief Executive Officer; and Lynn Smull, Gevo's Chief Financial Officer. Earlier today, we issued a press release that outlines the topics we plan to discuss. A copy of this press release is available on our website at www.gevo.com. Please be advised that our remarks today, including answers to your questions, contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently anticipated.  Those statements include projections about the timing, development engineering, financing and construction of Gevo's sustainable aviation fuel projects, its sales agreement, its renewable natural gas project and other activities described in our filings with the Securities and Exchange Commission, which are incorporated by reference. We disclaim any obligation to update these forward-looking statements. In addition, we may provide some non-GAAP financial information in this call. The relevant definitions and GAAP reconciliations may be found in our earnings release and 10-Q, which can be found on our website at www.gevo.com in the Investor Relations section. Following the prepared remarks, time permitting, we'll open the call to your questions. I would like to remind everyone that this conference call is open to the media, and we are providing a simultaneous webcast to the public. A replay will be available via the company's Investor Relations page at www.gevo.com. I would now like to turn the call over to the CEO of Gevo, Dr. Patrick Gruber. Pat?
Patrick Gruber : Thanks, John. Good afternoon, everyone, and thanks for joining us on our call. We filed our Form 10-Q earlier today, and we ask that you refer to it for more detailed information. It's been a tumultuous year so far in the financial markets, and there will likely be more to come over the next few quarters. Although our stock price is disappointing to me and to our shareholders, our balance sheet is in great shape, and Gevo's team is focused on pushing forward with our net zero development plan, which I'll talk about shortly. I'm confident that the value of what we are doing will begin to be reflected in Gevo's stock price as we continue to move forward with the growth of our business and the deployment of our net zero plants, starting of course, with Net Zero 1. In the meantime, our business development team continues to see strong demand for low-carbon drop-in fuels from the commercial airline industry as well as from trading arms of some large integrated oil and gas companies. And it doesn't look like there is enough supply coming in the future, based on the publicly announced projects that we know of. I believe the airline industry will need every gallon of low-carbon drop-in fuels that can be produced, and more, as demand will like to grow exponentially over the next few years.  Scalability, substantially, derisked the low-cost technology and verifiably low greenhouse gas emissions across the value chain are what's important, and we have all that at Gevo. It's a strong position to be in.  As we noted in our company update several weeks ago, Gevo has more than 375 million gallons per year predominantly take-or-pay fuel supply agreements in place with high-quality third parties. These agreements represent approximately $2.3 billion in expected annual revenue based on current market projections and assumptions. These agreements are critically important to satisfy the requirements of potential lenders that we are working with to provide project-level debt financing for our net zero buildout.  I'm pleased to tell you that we have begun to generate revenue from our Northwest Iowa RNG project. The biogas production has been going well, and we are still debottlenecking equipment to maximize volumes. We have begun collecting data and gas quality and for volumes, which are needed by CARB to get an approved pathway under LCFS. We already have approval for RINs.  I expect that the project will begin generating a meaningful volume of RINs in January 2023. However, LCFS predicts will probably lag that by at least 6 months because of the backlog at CARB to get the necessary approvals. Our RNG team has worked tirelessly to ensure this project stayed on schedule, and we believe that we have built a state-of-the-art RNG operation in Northwest Iowa, and it's performing well.  In September, we had the groundbreaking ceremony at our Net-Zero 1 project location in Lake Preston, South Dakota. NZ1 is our first commercial scale net zero carbon, sustainable aviation fuel plant. Construction has begun, as it always does, with site preparation. We want to get the ground prepared so that we can move quickly in 2023 once engineering has progressed far enough to start full construction and once the ground thaws out.  We expect to start construction early next year with a limited notice to proceed, even in advance of the full financial closing, which itself should happen sometime in the middle of 2023. We intend to keep the project on schedule by beginning construction with Gevo paying the bills as needed before the financial close. That will ultimately fund the complete construction of Net-Zero 1. We currently project that we are on track for a 2025 full production start-up.  We've had some good news of late. The supply chain bottlenecks seem to have plateaued for now, while most of the issues around transportation delays have improved and are projected to continue to improve. Well, obviously, this is really important for a capital project. Additionally, costs of some materials and long-lead items look like they are starting to stabilize. Think about steel and the other components that can go into a project like ours, that's starting to flatten out. This is good. Our capital cost projections look reasonable, and I expect a more stable price environment and materials availability as we move through next year. At NZ1, in addition to using renewable energy to drive our CI score down, we intend to use carbon sequestration. The plan is to capture the CO2 produced during implementation for biogas carbon and geologically sequester it. We recently reached an agreement with Summit Carbon Solutions, one of the leaders in the space. Summit is expected to provide NZ1 with CO2 pipeline, access to transport and to safely disposed of the CO2 produced and captured during our SAF production process.  When combined with sustainable agricultural practices, we believe our SAF will have a negative CI score, as measured using our [Indiscernible]. Negative. That's real good. We expect to be the leader in low-carbon SAF production.  Given the offtake agreements that we've signed up, it's clear that we're going to need capacity beyond Net-Zero 1. We have a good plan in place upon which we're executing. This plan includes greenfield and brownfield sites, along with partners who are interested in developing advancing projects. We aren't ready to disclose the details of this effort yet, but it's really exciting. We believe we are developing a reliable path in growth with ready access to the capital that we will need for these projects while minimizing dilution to Gevo shareholders by deploying capital at subsidiaries below Gevo, Inc. We expect that the capital for these projects will be gathered at one or more project or platform companies below Gevo, Inc. level.  We expect Gevo will maintain a controlling interest in these companies, and the only balance sheet impact to Gevo would be its equity interest in the project and platform companies.  Our Net Zero 2 site selection process has been active for several months, and we have narrowed down the potential locations to a handful of very attractive sites, based on a variety of factors. Key among these factors is reliable access to low carbon energy for process energy needs and abundant low carbon feedstock for ethanol that's sourced from farms with favorable farming practices. We're not ready to discuss the details around the status of these projects yet because many of the fundamental details still need to be finalized, and we don't want to tip our hand too early, anyway. We are excited to have such a strong portfolio of locations identified for future NZ projects.  Tracking of carbon and improving carbon reduction is essential and critically important to our business. To that end, we've been making progress on Verity Tracking. Verity Tracking is a system to track carbon, beginning from the farm practices through land use, the energy use production across the whole of value chain and out of the wing of a jet, and even after it's burned.  Verity uses distributed electro technology. Also known as blockchain technology. The idea is to make our carbon values completely traceable, trackable, immutable and valuable. The USDA agrees it's a good idea. They have selected us for a grant of $30 million to help develop the system. We're still negotiating the final details of the grant, but we expect to accelerate the programs with this money.  I can tell you that Verity resonates in the marketplace. The idea of tracking carbon from farm level forward into products has been discussed by lots of people, but the question is that how fast to do it. But we think we have a good answer for that, and that's Verity Tracking. We recognize Verity Tracking has relevance beyond our own ATJ process and to provide value to other jet processes, biofuels and even food. I think Verity Tracking has potential to be an attractive stand-alone business in its own right, and we plan on further investing and developing this business.  I am pleased with the progress we have made over the last 1.5 years on Gevo's goal to decarbonize the aviation industry. This inflationary environment has been unsettling, and it has impacted our expected capital cost for NZ1. They've gone up some, but we haven't budgeted now.  However, the macro environment for low carbon fuels has stayed strong and project returns appear to even be better than we originally thought. The project returns are even better than we expected before. The momentum for -- the momentum behind our efforts has never had such a level of broad-based support as we do now, and I believe that it won't change with any potential political reshuffling that happens over the next few years.  The need for net zero fuels is undeniable, and the goal to reduce carbon emissions has been generally acknowledged, included by those in the fossil fuels industry. We know the path to success, and I'm confident that we have the right people internally and the right partnerships externally to achieve our 1 billion gallon per year goal by 2030.  Now I'll turn the call over to Lynn to comment on the quarter's financial highlights. Lynn?
Lynn Smull: Thanks, Pat. We ended the third quarter of 2022 with a strong liquidity position of $500.4 million in cash, restricted cash and other liquid investments. Restricted cash totaled $76.9 million and is associated with the Northwest Iowa RNG bonds and certain collateral related to the development of Net-Zero 1. Long-term debt outstanding of $67 million is related to the Northwest Iowa RNG project.  Our corporate spend, that is SG&A, was approximately $7.5 million for the quarter, net of noncash stock-based compensation of $3.6 million.  During the third quarter of 2022, we invested and capitalized $22.5 million in cash in capital projects, comprised of $15 million into our Net-Zero 1 project, $7.3 million into the Northwest Iowa RNG project and approximately $0.2 million into other capital projects.  Earlier in the year, we began the process of suspending production at the Luverne facility in order to focus our attention on the net zero program planning, design and financing. During the third quarter, Luverne was idle and place in a care and maintenance status to be used for marketing, testing and R&D purposes. This change, combined with Luverne's history of operating losses, drove an accounting requirement to perform an impairment testing on the value of the asset. Those tests indicated that an impairment existed and required that the assets be written down to their estimated fair value.  For the 3 and 9 months ended September 30, 2022, the $24.7 million impairment charge represents a large portion of the basic and diluted net loss per share, accounting for $0.10 and $0.11, respectively.  We are progressing our net zero build program and are in the process of seeking debt and equity partners for Net-Zero 1 and projects beyond the flagship project. Third-party debt and equity financings for the program are being structured on a nondilutive basis at the asset level rather than at Gevo, Inc. The equity outreach is going well with a substantial market interest, and we expect to secure one more investors as a result of those efforts.  The Net-Zero 1 debt process is underway with a dual tracking of commercial debt sourcing and DoE guaranteed loan sourcing. Both tracks are progressing well, and we expect to secure nonrecourse debt for the plant construction sometime around mid-2023. As Pat mentioned, we continue to spend development and engineering capital to progress the project and maintain its time line in advance of securing the debt.  Now I'll turn the call back to Pat.
Patrick Gruber : Thanks, Lynn. Operator, please open the call for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Derrick Whitfield from Stifel.
Derrick Whitfield: For my first question, I wanted to ask if you could offer a general update on the ADM and Chevron partnerships.
Patrick Gruber: Sure. So with Chevron, we've had the discussion, we extended the contracts with them or the letter of intent with them. And so that will be an ongoing discussion. We just didn't want to put it out there as a public advise, given the turmoil that's going on and all the rest, plus we don't want to get boxed into it. So those are still ongoing discussions. Regarding ADM, same kind of thing. We're working with those guys and making progress on things. And those projects are really big, and so we can't do that by ourselves. And so that one is going to be slightly more complicated to do, but it's plugging along and making progress.  Our fate doesn't depend upon either one of those. It isn't intended to. Our fate depends upon NZ1, NZ2, building those out, along with the other sites where we work with brownfield ethanol plants. And there's a number of those that are attractive. So we look at it as a point of view of those big ADM assets are great, love to see them happen. But you know what? Those are giant projects, and I'm not betting the ranch on those because of the time frames of things. I got to go get stuff built. We have actually close to 400 million gallons of contracted take-or-pay jet fuel. And you know what? We got to go get her done and get it built out and play with people who are going to get it done their time for the networks.
Derrick Whitfield: Terrific. And as my follow-up, I wanted to ask on the Summit Carbon Solutions agreement. Are there any general economic parameters you could share with us on your take of the environmental attributes, inclusive of the IRS 45Q?
Patrick Gruber: I don't think it's appropriate to comment on it because they've done so many deals with so many people, and I don't want anything misinterpreted, but it's a good deal. It's a fair deal for us. And satisfies our needs to make sure that we have the CI scores and the value associated with that, that we need. It works out economically, it's attractive. So for both of us, both them and us.
Operator: Our next question comes from the line of Shawn Severson from Water Tower Research.
Shawn Severson: Pat, I was wondering -- I know you can't talk about specifics, but can you give some color on how the strategic reviewing is? And as you're looking for investors and the asset side, and even on the debt side, what's the bus interest on this versus financing?
Patrick Gruber: Well, we have -- one of the very important points that I want all shareholders to understand is that we don't like our stock price up here at Gevo. And I don't want to do more dilution, right? So how do you skin that cat? Yet, we have to raise a bunch of money to go build out plans and projects. Well, the good news is, is that we have lots of demand for the product that's firm and committed in these offtake agreements. We intend to raise money at what we call a platform level. It's beneath Gevo, it's a private company level. There, we would take funds into a private company. And that private company beneath us would go about building these projects and adding debt to each project. Guggenheim and Citi are co-leads on this banking exercise. We're in the midst of the process. it's going good. There's lots of interest. It gives great comfort to everyone, that we're working with Axons, which is some of the most proven technique alcohol into Jet. They like how we think about it with how to drive the carbon scores down and even negative and operating the partnerships together. They all can see -- those people interested can see the pipeline of sites and the potential economics, which are attractive. And so I think, I predict we're going to be successful at this and raise money and bring in some really good partners. And the debt solutions, we'd expect these people to participate in Net Zero 1 to a degree. And we'd also -- we're making progress on the debt as well. We've brought in bankers in addition to Citi for that.
Lynn Smull: Citi and Nomura Green Tech.
Patrick Gruber: Yes, Nomura Green Tech. And that's going well, too. So there's lots of interest in the space. People don't know what to do with their money. There aren't that many solutions that can work. It's about showing that it all can be properly derisked, put into a project format, getting the financing. And as I said, this isn't selling stock at the Gevo level. That's not what this is. This is about investing down beneath Gevo in projects or groups of projects.
Shawn Severson: My follow-up to that is when you look at the equity side on the NZ1 going forward. Is this something that we should expect to have small equity partners? Or does this seem like you will have one big check written from or whoever are they going to be composed of 2 or just the nature of what the testing these waters.
Patrick Gruber: Well, I think that would be the check -- I don't know exactly how we'll structure that yet. But I think it would come from the platform company. So we pushed some of our money down to the platform company, the other investors in the platform company. Collectively, they push money down to the project of NZ1. That's why I think it will work.
Shawn Severson: Right. And that's, I guess, what I'm trying to understand is you put your equity in and then would you expect to have like 2 or 3 other partners per plant? Or do you think this goes with very strategic writing big checks along what you do at the plant level? Or the equity?
Patrick Gruber: I think what it would be is the platform itself, a platform company, as investors, we're committed to investing in NZ1 and additional NZ projects. And how that mix of capital goes in, how much actually gets spent, specifically how much is ours versus theirs and how many people participate, well, that's part of the sausage-making that we're doing. So I said, gosh, we got to build out 400 million gallons over the next 5 years. And that's like, what 8, plants the equivalent size of NZ1. That's 1 heck of a lot of money. That's going to take not just one partner, that's going to take multiple partners working together to go and deploy that.
Lynn Smull: Maybe. Yes. I think it's estate's going to say it's $3 billion to $4 billion or $3.5 billion of equity. The parties we're talking to, many of them can certainly write a check Net Zero 1 on their own. But we have a -- we're getting quite a bit of interest. So we'll have to accommodate as many people as we can on terms that work for us.
Operator: [Operator Instructions] Our next question comes from Amit Dayal. 
Amit Dayal: Pat, just in terms of the cash outlay for the next, say, 12 months, how should we think about your needs on that front coming up? And what are your plans in terms of the cash usage over the next few quarters?
Patrick Gruber: I'm going to have then ask that question. So then would you address look, what are the rough expected cash spending would be on NZ1 and in corporate to --
Lynn Smull: Yes. corporate, it would be something in the order of -- we're running at a rate of about $33 million a year of run rate for corporate burn. We'll also invest some in Verity in the growers program, although the bulk of that investment will come with our DoE -- or sorry, USDA grant, which will help defray a lot of the cost of the development of Verity and program that supports Net Zero 1 to start, and other projects down the line. RNG is completed. So that shouldn't be a cash drag. It should start generating cash. Then we get to Net Zero 1, and I believe that we'll -- because we'll probably enter into a limited notice to do detailed engineering and further site work to take us to the expected close date, the debt and third-party equity close date, I could see us putting another probably $90 million or so into Net Zero 1 to take it to financial close. Now we don't intend to leave all of that in the project. We intend to be reimbursed by the project sources of funding for a portion of our development expense so that we -- what we're leaving in the project is a smaller percentage of the total equity of the project. But that's kind of the equity needs for Net Zero 1. We're also going to be spending money on Net Zero 2, possibly Net Zero 3 development work, engineering and such. That don't -- it's a little too early to know exactly the pace and the quantities around those 2 projects. So it's about 2 and 3.
Patrick Gruber: So the levers we have to moderate things is that we're going to wind up driving hard for NZ1, get it all derisked, get the engineering cold schedule, get the site work going, make sure we're getting equipment order that needs to be ordered and moving it ahead, so we hold the overall time lines and get ourselves in close kind of the midyear of 2023. In that, while a decision to take how much money do we take back out of that project because we'll have quite a lot in given what we spent so far over the years, plus what we're about to spend; or do we leave it in there, let it ride, we can do either one. It depends upon how we're feeling about the world at the time. And then Lynn's right. We got to do development work on NZ2. We've already begun that. We've already spending real money on that. because we based it, and we have -- we know that other people are using in it. And so we'll make that happen, too. And there's other sites that we have to do, too. This is about -- when you think about our problem that we have, a good problem, is that we have lots of demand that's contracted with take-or-pay contracts. We've got to go fulfill those. We got to go build it out. And they're ripe for project financing. We just got to go get that whole system figured out, of how we go about doing that with the EPC firms and the financing and the debt layerd on there. And then the flavor that Gevo takes is that we tend to -- we're going to look more and more like a developer and licensor, which is good. Those are good. They give higher returns for dollars. And maybe someday, the world will change and we could have money up at our corporate balance sheet. But the reality is we're going to use our money wisely and leverage it, and leverage the heck out of it, with others and attempt to grow. That's what we're going to go do.
Amit Dayal: Understood. Just 1 final 1 for me. With respect to the RNG revenues and cash flows, should we assume 2023 is where you can get that $12 million to $16 million that you have been expecting from this deployment?
Lynn Smull: Well, that's an annualized run rate expectation of EBITDA because of the delay in receipt of cash through the LCFS in particular because CARB is pretty slow and the pathway takes time. That annualized run rate probably won't be fully realized in 2023 because of that delay.
Patrick Gruber: So we won't see all that money at it will be the full annualized run rate -- so we'll see a chunk of it. We just -- we don't have a clear view as to how much of the chunk that we'll see. -- in 2023. It will be -- it's going to contribute. It will be noticeable. That's what I would expect. But it's not going to be the full amount 2023, given the timing of everything and the way that all the accounts work on the group -- for the LCFS.
Operator: [Operator Instructions] We have Derek Whitfield again asking for another question.
Derrick Whitfield: I wanted to ask another question just on the offtakes and the contractual obligation associated with those agreements. Given your commercial success in signing those, what are your thoughts on the progression of plan NZ1? The investor would have -- would it make sense to scale the second plant beyond the size of NZ1 once you derisk the first plant?
Patrick Gruber: Yes. So here's how I think about it is our problem is how do we grow big hub -- and there's lots of these partners that we're negotiating with who want it to even grow faster. So it makes for an interesting time. And remember, the point of view of everybody is like, look, you all know how to make the ethanol. You know how to decarbonize that. You show that how to do it. And the ATJ, it looks like that's derisked technically. This is all about capital deployment and growth, how do we do that best? And you still -- they got the issue go build things first and all that. NZ1, it's based on 100 million-gallon ethanol plant design. It's going to be a modified ethanol plant where we've really decarbonized the ethanol plant to lower the CI score through all kinds of little techniques, that trade secret, know-how stuff that we're doing. It's integrated to the ATJ plant that's based on the access design that we're modifying and that all looks really good. But you know what? That's going to be designed as a cookie-cutter. You could go apply that plant design right straight to any other 100 million-gallon plant. However, that other 100 million-gallon ethanol plant at some other site would also need to get decarbonized because ethanol plants generally are not decarbonized. But we have that design. So think of it as a turnkey type plan that we could deliver we can just talk with engineers today about how to build that in modules in such a way that we can do that sort of thing, build it really quickly. So that's one path these things take. But the trick is, you got to have people, got to partners then on the ethanol side who have true decarbonized plants. We're going to have to help them do that by bringing in renewable energy. That's one thread of growth that we see that's viable and we have projects in development on that front. We have another one, which is NZ2, the way we referred to it, it's planned to be a 3x bigger than NZ1. And the reason we're doing that is because we want to get the scale quicker, and there's some certain sites that we've identified that are way to heck better than others in our opinion. And they're suitable for much, much bigger plans, given all things considered in the access to defossilized energy. And of course, that same size plant design applies to those ADM-type plans, too. It's the same size. So we see that there's leverage in that size of -- that 3x the size scale. There's leverage in that, that we can use with others, here and ex U.S. And so that's how we think about it. So think about them as NZI is based on 100 million gallons of ethanol, making 60-plus million gallons of hydrocarbons. The NZ2 would be 3x that, 300 million gallons of ethanol converted into 180-plus million gallons of hydrocarbons. But we have those 2 designs are pretty much can accommodate whatever is needed anywhere, and that's how we're thinking about it. And so the answer is yes, NZ2 is going to be -- the plant is 3x bigger. That's what we're working on because, then, we already have the 100 million gallons version in the bank. So not we're working on the next bigger.
Derrick Whitfield: And Pat, just on that 3x design. Is there capital efficiency gains to be had with that incremental scale that you guys can quantify at this point?
Patrick Gruber: No, it's not worth it because whatever I say, I'm going to be wrong, everyone's going to go, Pat said this, and it's wrong. And so yes, there is. It's not worth -- a few standard engineering rules, you can figure it out. But ballpark, but it will come down to details of how we do it. And -- but the answer is yes, there is. It's going to be advantaged and it gives very attractive economic returns.
Lynn Smull: In general, I think the ATJ portion scales better than ethanol. Methanol has got some efficiencies, but ATJ has substantial efficiency.
Operator: All right. Thank you all the time we have for questions right now. So I would like to turn it back over to Patrick Gruber for closing remarks.
Patrick Gruber : Sure. Thanks. Yes. So thanks again for joining us this afternoon, and I look forward to seeing you folks crossing paths with you at the conferences in the coming quarters. It will be Lynn and I in the road along with John Richardson talking to folks and educating people. It's going to be very interesting to see how our platform fundraising turns out. There's lots of interest. There's been a lot of money sitting on the sideline. Hopefully, people get it -- go on and get it deployed. Our NZ1 product is making very good progress. The engineering is coming together, the engineering firms are all working well with us. So I feel really good about that.  And our -- where I turn my attention is to how do we grow big? And how do we play big? And who are we playing with and what strategic to play? What financial strategic to play? So it's a very interesting game that we have to sort out. That's what's in front of us, got to go make happen. It's bigger than little old Gevo. It's got to go play the game, and we are lucky and fortunate, and we did a good job, in getting ourselves in a position where we have very good technologies to make the SAF, and they're proven, and that will hold up security to anyone. So we feel really good about all of that and what we can get out of it.  So I look forward to seeing you guys in person wherever we can. And then with the outset of holiday season directly ahead. I wish you all happy early -- happy holidays, I know it's a little bit early. And in the meantime, if you have further questions, please reach out to John Richardson, John, Kim, Lynn or myself, and we'll follow up with you if needed.  And with that, we conclude the conference call. Thank you.